Operator: Good day and welcome to the Creative Media & Community Trust Corporation First Quarter 20212 Earnings Call. All participants will be in listen-only mode.  Please note this event is being recorded. I would now like to turn the conference over to Steve Altebrando, Portfolio Oversight. Please go ahead.
Steve Altebrando: Good morning everyone, and thank you for joining us. My name is Steve Altebrando, the Portfolio Oversight for CMCT. Also on the call today is David Thompson, our Chief Executive Officer; Shaul Kuba, Co-Founder of CIM Group and CMCT Board member; and Nate DeBacker, our Chief Financial Officer. This call is being webcast and will be temporarily archived on the Investor Relations section of our website where you can also find our earnings release and latest investor presentation. Our earnings release includes reconciliations of non-GAAP financial measures discussed during today’s call. During the course of this call, we will make forward-looking statements. These forward-looking statements are based on the beliefs of, assumptions made by, and information currently available to us. Our actual results will be affected by known and unknown risks, trends, uncertainties, and factors that are beyond our control or ability to predict. Although we believe that our assumptions are reasonable, they are not guarantees of future performance and some will prove to be incorrect. Therefore, our actual future results can be expected to differ from our expectations and those differences may be material. For a more detailed description of potential risks, please refer to our SEC filings which can be found in the Investor Relations section of our website. With that I will turn the call over to David.
David Thompson: Thanks, Steve and thank you for joining our call today. This morning we announced our first quarter 2022 earnings. Our core FFO per share of $0.10 in the first quarter compared to a loss of $0.21 in the prior year period. The significant improvement was primarily driven by improving results at our hotel asset, as well as a significant reduction in our cost structure. Our total segment net operating income increased by approximately 34% from the prior year. This is despite disruption early in the quarter from the Omicron variant that particularly impacted our hotel. Occupancy at that hotel was 57% in January, which increased to 67% in February and then 83% in March. Occupancy remains strong and stable into April at 82% last month.  On the cost side, our corporate overhead, which includes asset management fees, G&A, and expense reimbursements, declined by 49% from the prior year period. This was partly driven by the reduction in the management fees that we announced earlier this year. We believe that there is an opportunity to continue to grow our FFO per share. We continue to see an increase in leasing activity and encouraging hotel trends and we’re making progress on our value-add assets. In addition, we have a very attractive growth pipeline. We increased our dividend by 13% in the first quarter. As we noted when we announced the reduction in our management fee, management has recommended to the board that CMCT over time use substantially all of the cost savings achieved by the lower management fee to reward common stockholders through dividend increases.  I’d now like to turn the call over to Shaul Kuba to provide more detail on our strategy and growth opportunities.
Shaul Kuba: Thanks, David. I’d like to take a few moments to reiterate our strategy. CMCT is primarily focused on two things. First, being a leader in investing and developing creative office assets in vibrant market catering to fast growing industries like technology, media and entertainment. We are committed to creative office market for two reasons. One, tenants are demanding a new style of office space that is comfortable and modern. They’re seeking bright, open thoughtfully designed spaces that encourage creativity, flexibility and collaboration. Two, the creative office market is less competitive than traditional office and less capital intensive. If you have a great product in a great market, there is a very strong tenant demand. Next we are focused on investing and developing multifamily in those same markets, which are attracting fast growing industries and where there is an influx of employees working in those creative office locations. Since professional in general are spending more time working from home, there is also a greater demand for premium amenity as well as proximity to entertainment, dining, and culture.  With this new real estate dynamic in place, we have been working hard to assemble an attractive pipeline that include core assets, value-add and development opportunities. For certain development and value-add opportunities, we will look to joint venture of bringing core investors at an asset level. On straight joint venture, CMCT gets the benefit of the value creation as well as diversification. In instance where we bring a core investor, CMCT may supplement its return through either feed income or promoting some cases. We believe this is a very compelling business model for CMCT, a model where CIM Group distribution and development capability provide a significant competitive advantage. CIM has more than 180 global institutional investors. It has developed over $11 billion of assets across the United States and has 100 plus professional in our development group with experience in urban planning, construction, design, architecture, engineering, and project management.  I want to highlight a few of our development opportunities. On our last call, I described the closing of the development site in Jefferson Park, sub market of Los Angeles. We have a second site under contract there that is expected to close later this month. We intend to develop a total of about 150 units across both sides. The Jefferson Park area is strategically located in the path of growth, as Los Angeles expense south of the 10 freeway, it is also near several new Culver City Development. In just one and a half miles from University of Southern California, our land base on this development is very attractive at less than $55,000 per door. We expect to break ground on the first site in 2023. I also described the closing of 1910 West Sunset Boulevard, which was completed in the first quarter. CMCT partner with an institutional investor to acquire the 99,000 square feet office property in Echo Park, neighborhood in Los Angeles, an emerging trendy sub-market in a walkable area that also has dozens of dining and entertainment options. The in-place rent were $30.28 per square foot at the end of the quarter. We believe there is an opportunity to significantly grow rent as we reposition the property into a creative office space that will appeal to tenant in a fashion entertainment sector already in the area. Additionally, we are pursuing entitlement to develop approximately 36 multifamily unit on a surface parking lot in the back of the property. We also expect to break ground on this in 2023.  In addition, we are exploring opportunity to develop asset that today are fully leased. There is a significant opportunity to create value in our own existing portfolio. In Culver City, our assets on Lindblade and Washington are centrally located in the market where there is a very strong demand for technology and entertainment company. Neighboring tenants include HBO, Sony, Amazon, Apple and Microsoft. We are exploring alternative to redevelop those assets, which currently have about 32,000 square feet of rentable space. We are just starting to market the project as a built to suite. In East Austin, Texas, we control a very attractive creative office development located under one of the . We believe that corridor is among the most desirable location in Austin, given its numerous dining option and proximity to the CBD. We will share more detail on those projects as we get closer to construction. We also have additional deals in the pipeline that we look forward to discussing once they are closer to fruition.  For an update on our stabilized portfolio and value-add opportunity, I’ll turn the call to Steve.
Steve Altebrando: Thanks, Shaul. We released approximately 21,000 square feet in the first quarter and our stabilized portfolio was 88% leased. As we noted last quarter at our Penn Field creative office campus in Austin, we signed an approximately 20,000 square foot lease with Google Fiber in late 2021. During the second quarter, Google Fiber exercised an option to take another 5000 square feet, pushing our lease percentage up to 99% today at Penn Field. We expect to start recognizing revenue in the second quarter.  We also continue to make progress on our value-add portfolio. At 4750 Wilshire in Los Angeles, we’re planning to convert the unleased portion of the building to luxury for rent multifamily. The return profile on the conversion has been improving as multifamily market rents increase in LA. We noted on our call a few weeks ago that we received design review approval in February, which was the most significant step required for approval. We are now working on obtaining all necessary permits and expect to be able to start the conversion later this year. We anticipate a construction timeline of about 18 months, and we will provide more information on the budget capitalization and timeline of the conversion, as we get closer to starting.  At 9460 Wilshire Boulevard in Beverly Hills, our lease percentage increased to approximately 73% at the end of the quarter from 65% a year ago. The remaining vacancy is primarily the retail. We continue to actively market this space for lease. The building is located in the prestigious Golden Triangle of Beverly Hills, immediately next to the Four Seasons, Beverly Wilshire and just one block from Rodeo Drive. It is one of the most prominent retail locations in all of Los Angeles.  With that, I’ll turn the call over to Nate.
Nathan DeBacker: Thank you, Steve. First quarter of core FFO was $0.10 per diluted share compared to a loss of $0.21 in the prior year period. Our total segment net operating income increased to $12.2 million from $9.1 million in the prior year period. The increase is primarily driven by an increase in the hotel segment. Hotel segment NOI increased to $2.4 million from a loss of $807,000. Occupancy improved to 69.2% in the quarter, up from 29.8% while the ADR improved $173.14 from $116.21.  Our lending division segment NOI decreased to $1.7 million from $2.1 million. During 2021, the lending segment benefited from a temporary increase in the maximum SBA guarantee support on loans from 75% to 90% per loan. The guaranteed portion has now reverted back to 75%, which has led to a decrease in premium income due to lower loan origination and sales volume as compared to the first quarter of 2021.  Our office segment NOI increased by $200,000 to 8 million. The increase was primarily due to incremental income from our new office property in Echo Park purchased in February 2022 through a joint venture in which we have an approximately 44% ownership interest. Our asset management fee and corporate expense reimbursements were $1.3 million in the first quarter of 2022, compared to 2.9 million in the first quarter of 2021. The decrease was primarily due to a $1.3 million reduction in asset management fees as a result of the fee waiver agreement, effective January 1, 2022, which changed the asset management fee calculation to a quarterly fee of 0.25% of net asset value.  Turning to our liquidity, we had $90 million drawn in our revolver at the end of the quarter. We estimate we have approximately $106 million of availability as of March 31, 2022. Our revolver matures later this year but, as a reminder, we have a one-year extension option, which would extend that maturity to October 31, 2023.  With that, I will now turn the call over to David for some closing remarks.
David Thompson: Thanks, Nate. We continue to focus on a few strategic goals that we first described on our call in mid-March. First, we will continue to evaluate divesting non-core assets over time; assets that are not premier or multifamily or creative office. We plan to redeploy the proceeds in the type of creative office and multi-family assets in strong high-growth markets we described earlier in the call. We will be very prudent in this approach and look to sell only at values that we believe are attractive or CMCT shareholders. For instance, while we don’t view our hotel as a core asset, profitability at the asset is rapidly improving. Our number one priority is maximizing value for CMCT and that’s what will drive the timing.  Second, we’re working to create greater financial flexibility. As Nate mentioned, our credit facility matures in late 2023 when accounting for our extension option. We intend to refinance the facility on a long-term basis.  Third, we continue to focus on reducing our cost structure. Earlier this year, CIM Group agreed to a reduction in our management fee that amounts to approximately $0.21 per share in annual cost savings, which we started to see the benefits of in the first quarter of 2022. We believe that there is an opportunity to further reduce G&A costs.  And fourth, we continue to make progress on our value-add assets and growing our development pipeline.  To wrap up, we’re excited about the opportunity ahead of us, as we continue to sharpen our focus on creative office and multifamily. We have great assets in highly desirable sub markets such as Beverly Hills, Culver City, Hollywood, and Austin. We are encouraged by the pickup and leasing activity. We have a very attractive growth pipeline, and we look forward to sharing more details on future calls. For value-added and development assets, we will at times look to co-invest to increase our diversification and supplemental returns but generating fee income. And, finally, we have significantly reduced our cost structure.  Operator, you may now open the call to questions.
Operator:  And the first question will come from Craig Kucera with B. Riley Securities. Please go ahead. .
Craig Kucera: Yeah. Hey, good morning, guys. When talking about your office leasing -- 
David Thompson: Good morning. 
Craig Kucera: It looks like there was a bit of a pullback as far as what was executed quarter-to-quarter but I’d be curious to get your thoughts on sort of leasing traffic in the first quarter, maybe any trends in April and give us a sense maybe of your outlook.
Steve Altebrando: Sure. So this is Steve. I think basically what we’re seeing is pretty steady and consistent improvement in traffic. A lot of it is, I would say, market dependent. If you look at, say, our office in Austin assets, the entire property there is about 99% leased and with the vacancies coming up, we’re seeing activity to backfill the space even prior to the vacate. So you’re seeing very robust activity in that assets, specifically as a creative office campus that the type of assets we’re looking to gravitate towards and we don’t think it’s a coincidence that that type of asset is drawing that type of attention.  In, I would say, the Bay Area, it is a little bit softer still. We don’t have -- we’ve not had a tremendous amount of available space and we only have one small asset in San Francisco but the Bay Area, generally speaking, has been a little bit slower. And LA is generally steadily improving, I would say, across the board, whether it’s Beverly Hills, or some of our Brentwood assets, where we are seeing a steady improvement in leasing activity and traffic.
Craig Kucera: Great. And can you comment on any trends you’re seeing in regard to physical occupancy? We’ve been hearing this earnings season of certainly somewhat of a recovery still not to pre-pandemic levels, but any thoughts would be appreciated.
Steve Altebrando: I’d say it’s kind of interesting. It tracks pretty closely with the answer I just gave because Austin has been a market where we’ve seen tenants back for quite some time, Bay Area has been a little bit slower on that front, and we’ve definitely seen a pickup in LA we have a couple of our office buildings or medical focus building, so obviously those have been back for quite some time. But, generally speaking, in LA, we are seeing -- it’s difficult for us to track precisely but from anecdotally seeing more folks coming back in LA.
Craig Kucera: Okay, great. David, you kind of touched on this in your closing comments regarding potentially selling some non-core assets. But, you know, with the hotel NOI kind of getting back to where it was prior to the pandemic, are you currently marketing that or is that still TBD?
David Thompson: Yeah, I mean, as we said, I think we will continue to look to exit non-core assets opportunistically and look to reinvest that in the premier, multifamily and creative office, and certainly the hotel fits that bucket. I would say, to your point, our number one priority is maximizing the value for the shareholders. And as you noted, performance is improving and we believe that the outlook is very strong for the asset will likely continue to improve throughout the year. So, I mean, it’s a great property, extremely well located, across the street from the newly renovated convention center. It is just a few blocks from the capital. So, it is something that we will continue to monitor. Given the improving performance, it would really take the right price for us to sell that and we’ll continue to monitor that and see where it goes. I think certainly probably more so than we were when we spoke last or three months ago, given the improved performance. Again, we’re probably more inclined to hang on to that in the near term, and make sure that we’re achieving the right value for shareholders when we eventually exit.
Craig Kucera: Got it. And you did comment, again, this quarter on, maybe being able to reduce G&A a little bit further. Can you elaborate a little bit more on that front?
David Thompson: Yeah, obviously, the biggest piece is relating to the management fee reduction, and the fee waiver that was put in place in the first quarter. And it’s just something we continue to keep our eye on and look at for every opportunity to reduce the costs and to be more efficient, probably the largest part of our cost structure is allocated payroll and costs and so we’re looking to do things where we can more efficiently really across the board, both internally and where we’re working with external service providers. So really just kind of taking a look at everything and trying to see where we can continue to reduce those costs to help improve margins, as the revenue side of the business improves.
Craig Kucera: Okay and just one more for me. I know you’ve pivoted into developing through joint ventures, but are you currently evaluating any acquisitions you would wholly own? 
Steve Altebrando: We are. I think as Shaul mentioned in the script that there we have a pretty active pipeline and we would expect to be able to share more details on future calls. But yes, we do have deals that are in the pipeline, currently. 
Craig Kucera: Okay, thanks.
David Thompson: I think I would just add, the JV structure is still going to continue to be something that’s attractive to us, given our limited capital and allows us to do more in diversification of the portfolio and, again, certain instances where it will give us the opportunity to generate fee income as well. That’s going to be something we continue to look at.
Operator: This concludes our question and answer session as well as our conference call for today. Thank you for attending today’s presentation. You may now disconnect. 
David Thompson: Thank you, everyone.